Operator: At this time, I would like to welcome everyone to the IFF Second Quarter 2021 Earnings Conference Call .  I would now like to introduce Michael DeVeau, Head of Investor Relations. You may begin.
Michael DeVeau: Thank you. Good morning, good afternoon and good evening, everyone. Welcome to IFF Second Quarter 2021 Conference Call. Yesterday, we issued a press release announcing our second quarter financial results and outlook for 2021. A copy of the release can be found on our IR Web site at ir.iff.com. Please note that this call is being recorded live and will be available for replay. I ask that you please take a moment to review our forward-looking statements. During the call, we'll be making forward-looking statements about the company's performance and business outlook. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning the factors that can cause actual results to differ materially from our forward-looking statements, please refer to our cautionary statement and risk factors stated in yesterday's press release. Today's presentation will include non-GAAP financial measures, which exclude those items that we believe affect comparability. A reconciliation of these non-GAAP financial measures to their respective GAAP measures is available on our Web site. Please note that we'll be using combined historical results for the second quarter, defined as three months of legacy IFF results and three months of legacy N&B results. And for the first half 2021, defined as six months of legacy IFF, January to June and five months of legacy N&B, February to June, in both the 2020 and '21 periods to allow comparability in light of the merger completion on February 1, 2021.  With me on the call today is our Chairman and CEO, Andreas Fibig; and our Executive Vice President and CFO, Rustom Jilla. We will begin with prepared remarks and then take any questions that you may have at the end. I would now like to turn the call over to Andreas.
Andreas Fibig: Thank you, Mike, and thank you, everyone, for joining us today. I will begin today's call by providing an overview of our performance during the first half of 2021, followed by an update regarding our ongoing efforts to fully integrate the N&B business following the completion of the transaction in the first quarter of the year. Rustom will then provide a detailed review of our second quarter financials, highlighting segment level business performance and the market dynamics we saw in the quarter. Before we jump into the question-and-answer session, Rustom will also conclude with an overview of our expectations for the remainder of 2021. Now beginning with Slide 6, I would like to review our business highlights for the first half of the year. I'm pleased to report that IFF has delivered a strong performance in the second quarter, which is a robust acceleration versus our combined Q1 growth and through the first half of the year. As I've said before, execution is everything and IFS has delivered strong financial results, while advancing our ongoing integration efforts, following the completion of the N&B merger in February. In the first half of 2021, IFF achieved $5.6 billion in sales, representing 8% growth or 5% on a currency-neutral base. For comparable purposes and to reflect the portfolio differences between our peers, I want also to highlight that both businesses performed well with legacy IFF achieving a very strong high single digit growth rate with nearly 100 basis points of EBITDA margin expansion and legacy N&B growing in mid single digits. At the same time, we continue to operate in a challenging global environment, with significant headwinds in material cost and supply chain logistics. In the first half, combined EBITDA growth was a solid 6% and a combined EBITDA margin of 22.5%. Importantly, our strong free cash flow of $533 million enables IFF to maintain significant financial flexibility, including our efforts to de-lever. We remain on track to achieve our deleveraging targets of under 3 times by year three post transaction close, and we improved our net debt to credit adjusted EBITDA leverage from 4.3 times in the first quarter to 4.2 times in the second quarter. Finally, we are also well on track with integrating the N&B business and continue to realize synergies in line with our expectation for the transaction. As we sharpen the IFF portfolio, we continue to progress on the divestiture of our food preparation business, which we expect to be completed late in the third quarter or early fourth quarter. As I mentioned last quarter, the divestiture of this non-core business will create a more efficient IFF with an enhanced ability to grow and innovate across the key business segments. We are committed to ongoing active portfolio management and will continue to seek ways to increase value creation. Stepping back to reflect on the first half of the year. I'm very pleased with what we have been able to accomplish. We delivered strong sales growth, which is an acceleration versus historical performance for both legacy IFF and legacy N&B, in the midst of a transformational integration as well as a global pandemic. This is a validation of our strategy, motivates our team to continue defying industry expectations as we continue to see the benefits of our expanded product offering and capabilities. Long-term growth prospects of our business are strong, and we are making investments in capacity, R&D and plant technologies, as well as increasing inventory levels and incurring higher logistic costs to maintain our growth momentum in the interim, specifically in the N&B business, as we maximize our growth opportunities going forward. As we look to the third quarter and second half of 2021, our objectives are clear, build on this momentum while executing on our integration plans, allowing IFF to fully leverage our new capabilities and achieve our long-term expectations. Turning to Slide 7. I would like to briefly discuss the regional sales dynamics that influenced our results for the first half. Despite persisting global challenges and varied economic recoveries, we are pleased to report growth in each of our four key operating regions. In North America, we achieved growth in all of our business segments, led by a single digit growth in Scent, Nourish and H&B. Similar to the first quarter, our Asian markets continue to perform well, achieving a 5% increase in sales led by double digit growth in India and a mid-single-digit performance in China. While we had anticipated that growth would have been impacted in India due to COVID in the second quarter, the business was resilient and finished higher than we expected with strong double-digit growth in Q2. From a segment perspective, in Asia, strong increases across our Nourish, Scent and Pharma Solutions businesses all contributed to this sustained growth in this key region. Latin America, our strongest performing region, we achieved 12% sales growth, driven by double digit performance in nearly all of IFF business segments and underpinned by favorable currency movements and the impact in Brazil, Mexico and South Cone all achieved growth in the first half. We are particularly pleased to report that our EMEA region has impressively rebounded in the second quarter up to high single digits. We achieved a 2% increase in sales in the first half as COVID-19 related restrictions eased. Our Scent and Nourish business performed particularly well in Q2, both achieving double digit growth. Bearing any newly emerging COVID-19 challenges, we expect this growth to continue through the remainder of the year as global vaccination rates increase and Western and Central Europe continue to recover. Now turning to Slide 8. I will provide a more detailed look at our sales performance across IFF's key business segments through the first half of 2021, particularly those that significantly contributed to our overall 8% sales growth or 5% growth on a currency-neutral basis that I mentioned earlier. We are pleased to report solid growth across all of our four core divisions, Nourish, Health & Biosciences, Scent and Pharma Solutions. Nourish achieved currency neutral growth of 6%, driven by a strong performance in flavors, ingredients and food design. Similar to the first quarter, Scent remains our largest sales driver on a year-to-date basis, achieving 8% in currency neutral growth led by a strong performance in Fine Fragrance and Consumer Fragrance. Our Health & Biosciences business has returned to solid growth in the second quarter, following a challenging first quarter where sales were affected by COVID-19 pressures in microbial control and grain processing. While microbial control continues to be challenged, for the first half, we saw growth in grain processing, which showed a recovery in the second quarter as well as home and personal care cultures and food enzymes and animal nutrition. Finally, our Pharma Solutions business also delivered growth to the first half of 2021 against a strong year ago comparison. On Slide 9, I would like to discuss the underlying dynamics influencing each of our four segments in the first half. As I mentioned, we saw broad based growth in all Nourish categories, led by robust performance in flavors. Despite strong volume and continued cost discipline, higher raw material costs continue to affect margin when compared to the first half of 2020. However, on a year-over-year basis, EBITDA grew about 7%. Our Health & Biosciences businesses delivered growth in the first half, led by strong performance in Home & Personal Care and grain processing. This growth offsets COVID-19 related pressures in microbial control and a strong year ago comparable in health. Higher logistic costs related to capacity and strong demand impacted our margin. Nonetheless, we are encouraged by this performance and expect continued improvement as we move into Q3. Our leading growth and profitability driver, Scent, achieved an operating EBITDA margin increase of 170 basis points and absolute EBITDA grew nearly 20%. This was driven by a strong rebound in Fine Fragrances as retail channels continue to recover, continued strength in Consumer Fragrances and double digit growth in Cosmetic Actives. Scent also delivered strong profitability led by higher volumes, favorable mix and higher productivity, which we expect to continue through the remainder of the year. Lastly, in Pharma Solutions, the segment's 1% growth was driven primarily by improvements in industrials. So our margin was significantly challenged due to higher energy costs, lower manufacturing utilization and result in a weather related raw material shortages. Now on Slide 10 and 11, I would like to discuss our continued synergy progress in connection with our merger with N&B. From a revenue synergy perspective, we remain on track to meet our $20 million revenue synergy target this year. Coupled with continued demand and positive feedback from our customers, we are also confident in our ability to meet our 2024 run rate revenue synergy target of approximately $400 million. I would like to spend a moment highlighting how we realized this significant opportunity and share additional context on some of our recent wins. In only six months since completing the merger, we are already seeing strong affirmation in the opportunity before us. Our Home Care segment is a perfect example of how our expanded portfolio and combined capabilities with N&B delivers creative solutions for our customers and creates new opportunities for our business. Recently, our Health & Biosciences division saw an opportunity to collaborate with our Scent division, a global Scent customer expressed a need for enzyme technology and IFS capabilities across divisions allowed us to deliver an integrated solution and ultimately create a superior dishwashing detergent. Together with IFF's leading fragrance capabilities, our enzyme technology ensures fit-for-purpose delivery and performance, which creates a differentiated product for our customers. This opportunity represents more than $5 million in annual sales potential. At the same time, we're actively working with other customers across our IFF network to develop solutions that require capabilities across our four divisions. The food and beverage category, we continue to see demand for plant based meat alternatives that showcase the best of our expanded portfolio. For low sugar, low fat yogurt, we are introducing new flavor technologies with improved texture and speed to market, which are key advantages for our customers. Lastly, in our health category, we are developing an integrated solution for fiber gummy that leverages our unmatched scientific and technical expertise combined with our best-in-class flavor offering. These are just a few examples of the cross selling opportunities that we are seeing customers increasingly demand and differentiator for our business over the long term. We made significant strides in the second quarter from an integration perspective, ramping up our cost synergies from a few million dollars in the first quarter to a total of approximately $15 million on the first half basis. This was largely a result of the comprehensive savings program we have implemented in the second quarter, which allowed us to leverage our increased scale to reduce our indirect spend, benefit from various office consolidations and renegotiations and rightsize our organization. Additionally, because of our operational strengths and commitment to the integration process, early on, we were all able to accelerate exiting our various transition service agreements with DuPont. I'm very encouraged by the continued progress on this front, and we are on track to deliver at least $45 million cost synergies for the full year and ultimately, our three year run rate cost synergy target of $300 million. And now I will hand it over to Rustom.
Rustom Jilla: Thank you, Andreas. I will begin with an overview of our consolidated second quarter results on Slide 12. In Q2, IFF generated approximately $3.1 billion in sales, representing 13% year-over-year increase or 9% on a combined currency neutral basis, primarily driven by double digit growth in our Nourish and Scent divisions and a strong Health & Biosciences performance. Though our gross margin was pressured by higher input costs, raw materials and logistics inflation and higher air freight volumes, this was partly offset by our disciplined cost management practices, administrative expense reductions and cost synergies. This enabled us to deliver adjusted operating EBITDA growth of 7%. We also achieved strong adjusted earnings per share, excluding amortization of $1.50 for the second quarter. On Slide 13, I want to provide a perspective on sales performance in Q2 versus pre-COVID. There is no doubt that 2020 was an extraordinary year due to COVID-19, so it makes more sense to also evaluate our performance relative to 2019’s levels. And as you can see, all four divisions in the second quarter delivered strong sales growth as compared to the space period. Total company sales were up 8% on a two year basis with double digit growth in Nourish and Pharma Solutions, a high single digit increase in Scent and mid single digit growth in H&B. With the exception of a handful, all of our subcategories have grown relative to their pre-COVID levels. Most notably, we are pleased to report that those categories most impacted by COVID-19 are ahead of their respective Q2 2019 levels, including Cosmetic Active, which is up double digits; Fine Fragrance, which is up high single digits; and Grain Processing, which is up low single digits. Foodservice and microbial control, while we had strong growth in the second quarter of 2021, remain below Q2 2019 levels but we expect will continue to improve as we move forward. This performance underscores the strength and diversity of our portfolio as well as our position as an essential partner to our customers. Now on the next few slides, I will dive deeper into the second quarter financials of each of our four divisions. Beginning with Nourish on Slide 14. Sales for the division increased by 15% year-over-year or 11% on a currency neutral basis, driven by robust double-digit growth in Flavors, with Frutarom contributing to growth and a strong ingredients performance, particularly from our protein solutions, cellulosic, locus bean gum and food protection categories. Nourish also saw a strong rebound in food design, including a very strong 24% growth in foodservice as pandemic related restrictions continue to ease and consumer behavior in away from home channels continue to normalize. As I mentioned in the previous slide, higher raw material costs put relatively modest pressure on the margins at most of our individual segments, although we are pleased to have delivered adjusted operating EBITDA growth of 7%. Pricing continued to accelerate in Q2 and contributed over a percent of growth in the second quarter. As we will discuss later, we expect this will increase significantly in the third and fourth quarter as more of our pricing actions take hold. Turning to Slide 15. Our Health & Biosciences division saw year-over-year growth of 9% or 5% on a currency-neutral basis, led by double-digit growth in Home and Personal Care. As Andreas mentioned earlier, we are particularly encouraged by Health & Biosciences return to growth this quarter, led by our microbial control and grain processing categories strong recoveries and from the industrial and supply chain challenges related to COVID-19. Performance in our health category was challenged based on the particularly strong double digit probiotics year-over-year comparison, although this did not offset the rest to the segment's growth, and we remain confident in the health category’s trajectory moving forward. Health & Biosciences also delivered adjusted operating EBITDA growth of 5%. While you see that the division's margin was down this quarter, this was due to higher logistics costs in order to balance robust customer demand and available capacity. We have increased capacity investments in this business to support long term growth and invest in R&D and plant technology to increase output later this year. We are incurring significantly higher airfreight costs to maintain our growth momentum in the interim and this is impacting our EBITDA margin. Now turning to Slide 16 to discuss the results of our Scent division, which continued to be a standout growth contributor this quarter. Our Scent division generated $550 million in total sales, representing year-over-year growth of 16% or 13% on a currency neutral basis. Scent also achieved adjusted operating EBITDA growth of 34% with margin expansion of 300 basis points, driven by robust volume mix and productivity, which did offset some inflationary pressures. While Consumer Fragrances was down slightly this quarter against a very strong double digit year ago comparison, a significant rebound in Fine Fragrances, which grew by approximately 85%, led by new wins and improved volumes, more than offset Consumer Fragrance’s more modest performance due to last year's double digit growth. Our ingredients category also contributed to the division's strong performance, growing double digits, led by strong performance in Cosmetic Active and Fragrance Ingredients. Overall, we are extremely pleased with Scent's continued strong performance. Lastly, turning to Slide 17 to discuss Pharma Solutions. Currency neutral sales were flat against a strong year ago comparison with industrial Pharma the most significant performance driver for this division, led by Global Specialty Solutions. Core Pharma's performance was challenged against a very strong year ago comparison. On a two year basis, growth was solid at about 3.5%. Adjusted operating EBITDA was pressured this quarter with the margin decline due to higher energy costs and lower manufacturing utilization due to a couple of plant shutdowns as a result of weather related raw material shortages. Specifically, we had raw material availability issues related to the Midwest storm in the US earlier this year, which meant we were not able to run production and absorb our fixed costs. Going forward, the supply chain is improving, which we expect will lead to stronger margins in Pharma Solutions for the balance of the year. Now turning to Slide 18. I'd like to review our cash flow position, leverage dynamics for the first half of 2021, which remain a top priority as we continue to navigate a recovering global market. As you will see in the first half, IFF generated $533 million in free cash flow with free cash flow from operations totaling $698 million, driven by an improvement in core working capital. CapEx for the first half totaled $165 million or approximately 3% of sales as we continue to invest in growth accretive areas that we believe will ultimately prove rewarding over the long term as well as integration related activities. In the first half, we also delivered $274 million in dividends to our shareholders. As we look ahead, we are confident that our cash generation will remain robust, and have announced that we are raising our quarterly dividend, marking the 12th consecutive year of dividend increases. From a leverage perspective, our cash and cash equivalents finished at $935 million with gross debt holding steady at $12 billion. Our trailing 12 month credit adjusted EBITDA totaled $2.61 billion and our net debt to credit adjusted EBITDA was 4.2 times. We are slightly better than we expect to be at this point in time and we are still expecting to de-lever to below 3x net debt to EBITDA in the first three years post the transaction close. Now moving to Slide 19. I'd like to provide an update on our financial outlook for the full year 2021. IFF has built a solid foundation in the first half of the year and delivered particularly strong second quarter performance. And we expect strong growth will continue through the rest of the year. For the full year 2021, we are once again increasing our forecast for total revenues with an expectation to achieve 2021 total revenues of approximately $11.4 billion, which equates to about 7% growth. This is up from our previous $11.25 billion or 6% growth as we have confidence in our sales momentum continuing into Q3 and through the rest of the year. Breaking down the contributors of growth, we expect currency neutral sales to be about 5% and FX benefits to be approximately 2%. While pandemic related uncertainties persist, we are encouraged by the strong performance and important recoveries we are seeing across the business, which we believe position us well to capture continued strong sales growth in Q3 and Q4. At the same time, we now see full year 2021 adjusted EBITDA margin at about 22.5% versus approximately 23% previously. A part of this reduction is related to our margin performance in Q2 for all the reasons I explained earlier. We also continue to see inflationary pressures across the supply chain. From a raw material perspective, we have seen raw material costs continue to increase over the course of the year. In the first half, we are successful in raising our prices to recover a portion of the cost increases and continue to expect close to full cost recovery in the second half. It should be noted that we're also seeing more broad based non-raw material inflation, such as higher energy costs that we are managing through. Our expectations for airfreight has also increased significantly as rates are higher but mostly higher volumes to balance robust customer demand and available capacity. We are absorbing higher logistics costs to grow the business in the short term and expect this is only temporary until our capacity expansion projects are complete. The combination of unfavorable price to raw material costs and higher logistics costs are negatively impacting operating margin in 2021 by more than 100 basis points. However, through higher sales, strong cost discipline and our focus on unlocking additional cost synergies, we believe we will end up only about 50 basis points lower than our previous expectations with higher revenues and a roughly similar dollar EBITDA level. For modeling purposes, please note that depreciation and amortization, interest expense, CapEx as a percentage of sales, adjusted effective tax rate, excluding amortization and weighted average diluted share counts, all remain the same as what we shared in Q1. Overall, we are confident that we are well placed to continue capturing additional growth over the next two quarters and beyond, while maintaining our focus on execution, continued financial discipline and leveraging our significantly bolstered resources and expertise as a stronger, more diversified company. Now I'd like to turn the call back to Andreas who will provide some closing remarks before we open the line for our question-and-answer session.
Andreas Fibig: Thank you, Rustom, and thanks again to all of joining us today. Before I wrap up today's call, I would like to first recognize our thousands of employees around the world who continue to display their unwavering commitment to serve our customers, unify our teams together with N&B and deliver for our communities. Despite the uncertain environment that we have continued to navigate, IFF's first half and Q2 results showcased the strengths of our combined portfolio and our ability to execute our ambitious business objectives. And I'm incredibly proud to lead such a talented and passionate group of IFF-ers. We have much to be proud of this quarter as we move ahead. I'm confident that we have built the financial and operational structures needed for our combined company to reach even greater heights. As Rustom and I have mentioned, we are targeting a strong full year performance, indicative of our post pandemic aspirations and I know we are exceptionally positioned to achieve this. And we are seeing the strong top line momentum continue in the early days of the third quarter. Together, we will further our mission to be an innovative force for good and redefine what it means to be a leader in a global value chain for consumer goods and commercial products. With that, I would like to open the call for questions. Thank you.
Operator:  And we'll take our first question from Mark Astrachan with Stifel.
Mark Astrachan: I guess the question is more around sales guidance. So I guess, why not raise more considering the strong second quarter result? Obviously, comparisons remain favorable over the back half of the year. Rustom talked about incremental pricing. So maybe if you could just talk about that generally? And then related to that, was there any borrowing in 2Q from the back half of the year? Is that something that we should listen for watch for kind of thing and how do you think about that? And then on pricing, how do you think about the increase in pricing, which seems to be much more around the DB portfolio and thinking about the elasticity there relative to the legacy business?
Andreas Fibig: Let me get started on it, and then Rustom is talking about the pricing. So first of all, your second question, there's no borrowing from the third quarter for the second quarter. I think that's important. Number two is what is driving us and the strong performance in the second quarter and also the start into the third quarter, because July we had the sales already. So it's a strong win rate. It's a very robust demand we are seeing. In some areas, it is also a superior technology, in particular in parts of the enzyme business and a really good R&D pipeline here as well. So the question now is why we are not going higher. Look, it's a  environment for us right now and as for everybody else. So we have now the COVID Delta variant. And we said, look, let's be careful here what we do, we’re not getting ahead of our skis here and make sure that we have a very realistic target on the sales side. And Rustom, if you could talk a bit about volume and pricing that would be probably helpful.
Rustom Jilla: Look, our focus on the second half is on ensuring that we achieve the pricing needed to recover raw material and logistics costs. We do recognize we had very strong growth in Q2, predominantly volume driven. But also, I mean, there is uncertainty out there with Delta COVID, as you heard. So we've calibrated our guidance. We think appropriately to manage performance, risk and the need for pricing. And the composition is a bit different of our first half and second half growth. I mean in the second half, we're expecting that, on average, pricing will contribute close to 2.5 points of growth with volumes at a similar level. So this is all without FX of course.
Operator: We'll take our next question from Mike Sison with Wells Fargo.
Michael Sison: Andreas, just curious, you sounded pretty positive on the sales synergy momentum that the teams are putting together. Any thoughts or any changes in the contribution potential in '22 and maybe even the second half of this year?
Andreas Fibig: Mike, so we are very, very confident that we achieved what we have set for this year. Second year, we will see how the run rate turns out. I'm very impressed actually what the teams are doing. I'll give you a couple of examples. I did know since we are going a little bit lighter on the pandemic. I did a good trip in the US and in Europe actually twice. And I saw what the power is combining, let’s say, an ingredient sale with a flavor sale. So I'm really optimistic that we are, let's say, are moving in the right direction. But it's probably too early to raise the forecast already for next year. That might be in the next call where we can take a very detailed look. The most important thing for me is how natural the teams are already combining ingredients at Flavors, for example, and what kind of opportunities we have in areas like the Home Care with superior edition washing detergents, for example, and in the health area as well, which were not so much on our forefront when we started this all endeavor. And that's really good. So I'm optimistic but it's probably too early to raise it right now. Okay, Mike?
Operator: We'll take our next question from Faiza Alwy with Deutsche Bank.
Faiza Alwy: So I wanted to ask a little bit more about Health & Biosciences. I know you had previously talked about capacity constraints in that business due to elevated demand. So maybe I was expecting higher growth in that segment because of this, but I wonder if your capacity constraints sort of limited the growth potential this particular quarter? And if you think growth should accelerate in the back half or if there's any other color you can provide sort of within the various subsegments within Health & Biosciences to help us think about the business going forward?
Andreas Fibig: Absolutely, Faiza, and that's a very core part of our portfolio. And we see for almost all the enzyme categories, we see a really robust demand and in some areas, really our superiority in technology as well. So answering your question, we had probably more demand than we could satisfy. And our priority right now in this business is actually to debottleneck some of our manufacturing parts, investing in more, let's say, manufacturing lines and making sure that in the next, let's say, 12 to 15 months, we are really able to deliver the strong demand here. So indeed, we had more demand than we could deliver and we are working now really 24/7 to make sure that we have the appropriate capacity. I don't know, Rustom, whether you want to add anything?
Rustom Jilla: I mean, look, strong demand in enzymes has led to the tight capacity in the short term. But to be clear, capacity is not a medium or long term constraint. And Andreas covered everything else.
Faiza Alwy: Just to be clear then …
Operator: And we'll take our next question from…
Andreas Fibig: Operator, Faiza, if you want to jump back on the line that would be great, you cut out .
Faiza Alwy: I thought you guys were moving on to the next question. But I just wanted to clarify the capacity constraints aren't going to be listed in the back half, it's more of a longer term solution. So more thinking ahead to 2022. Is that the right way to think about it?
Andreas Fibig: Yes, some of it in the fourth quarter but most the bulk of it in 2022. Yes, absolutely.
Operator: We’ll go next to John Roberts with UBS.
John Roberts: You mentioned active portfolio management. Do you anticipate any more significant divestments to accelerate debt reduction?
Andreas Fibig: I would say, at the moment, we're working hard to look at what we do with our portfolio. It's probably too early to say something more in detail. Yes, that's probably, and I don't know Rustom, if you want to say anything?
Rustom Jilla: No, I wouldn't add anything.
John Roberts: Secondly, there's continued to be some turnover among the senior management team. How concerned should we be about that?
Andreas Fibig: Look, we are always concerned if we have a turnover on the management team. So far, I think we keep it in a way that we make sure that we are really firing on all cylinders and that we find the right people. Because it's a big task we have here right now on one hand, delivering on our numbers, integrating the businesses and then we are still in the pandemic, which makes it not easier. But in general, I think we have it very well under control. And as you can see, most of these units are performing actually very, very, very well and we expect the same actually for the third quarter as well.
Operator: And we will take our next question from Gunther Zechmann with Bernstein.
Gunther Zechmann: A couple of questions, please. Firstly, on raw materials. You continue to guide for 5% for this year. Is that sort of time of the year where you start supply negotiations for next year as well? How should we think about that more like a two year stack of 5% each, or what do you see in those negotiations, please? And then secondly, on the Nourish and the strong growth there. It's quite remarkable, not just the growth in itself but also versus Sivanto and Symrise that you outperformed. And I appreciate there's been one extra working day in that, but that still outperformed. So can you talk about the sustainability of growth versus peers going forward and what's driven the outperformance in the quarter? How much of that is just food services and portfolio mix and how much is win rates, please?
Rustom Jilla: Andreas, you want to take that and then I'll …
Andreas Fibig: Let me get started. So yes, we are very optimistic on the Nourish right now, also in comparison to some of our peers. And there's a lot of good wins coming in, very strong wins, particularly on the flavor side, and it's really good for what we see the pipeline is pretty filled. We see as well that now having the ingredients helps us to open up customers for flavors, because you do always with the CPGs, first, the ingredient sales and then the flavor sales. And the dynamic right now is if we see an ingredient sales, we try to cross sell already the flavors, which is working actually quite nicely. So win rates are really good and strong. The demand is very, very robust, what we see as well. And we started being very short term, strong because Nourish as well, actually super strong into the third quarter. And Rustom, if you could talk about the raw mats, that will be really good.
Rustom Jilla: Actually, we're looking at closer to about 5.5% now. We've seen continued inflation in logistics and in raw materials. So yes, we have started the Nigerias getting close to starting negotiations and working on all of that. But Gunther, at this point in time, we are not seeing any deceleration in inflation. In fact, if anything, we're seeing it continuing and exacerbating, in general. It actually has a -- there's another impact to this as well, because even when we recover 100% of the cost increases, I mean that does push down our operating margin. And you can actually go and take the -- just do the math, anyone interested. You go back and pick a number, even add like $225 million of cost and $225 million of price recovery to our 2020 results and keep everything else unchanged, and that alone takes about 50 basis points of our operating margin, that's just pure math. So I mean there's different factors in here.
Operator: And we'll take our next question from Adam Samuelson with Goldman Sachs.
Adam Samuelson: So I was hoping maybe it kind of ties off the last question, but maybe thinking a little bit longer term. How do we think about the cost pressures and inflation this year? You're going after pricing aggressively to recover that. How do we think about that impacting some of the -- or the trajectory impacting the medium term targets around revenue growth, around EBITDA margins by 2023? Did it have any impact in terms of the timing of synergy capture over the next 12 to 24 months? Because I know procurement was a big part, a big bucket in terms of the targeted cost synergies. I'm just trying to think about how the experience this year and some of the market dynamics at play impact the forward trajectory?
Andreas Fibig: And I have to say that was a big focus for our team right now to look because we didn't get the procurement savings in the second quarter we wanted, and probably not in the third. So we shifted actually pretty agile, the way how we deliver the synergies. So it was more cost out in particular in terms of headcount in other areas as well. And we are now planning for next year getting more of the synergies from procurement and then certainly in 2023 because, at some point in time, it will ease. So I think we did a good job to just, let's say, reachc shift where we get it from. On the revenue growth, before I hand it over to Rustom on EBITDA, it is certainly positive because you will see also carryover effect into next year on the sales line if you have raised the prices, which is good and good to see for us. But I guess everybody in that marketplace is doing it right now. But Rustom, if you can talk about the cost pressures, in general? How you see it and the EBITDA margin.
Rustom Jilla: Like I said, I mean, the impact of the -- even with full recovery, it depresses our operating margin. If you look at some of the other factors we're getting this year, it's not so bad, like capacity expansion projects as we talked about with Pfizer, they come online in 2022. So the negative air freight impact that we are seeing will go away when you think by the time you come into 2023. And yes, so we recognize the 26% numbers a little further away from where it is right now compared to when we are there. But as we started, it's three year number and we are committed to it. And what we're looking at is so far this year we've got stronger sales. And as you can see, slightly lower op margin than we expected.
Andreas Fibig: Actually a good point Rustom is making, because a big portion of it is driven by airfreight. And as soon as we have enough capacity available, we will reduce the airfreight quite significantly, which is super helpful on the cost side as well.
Operator: And we'll take our next question from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Why were Scent margins up year-over-year and Nourish margins down? Was it that Scent had a better pricing dynamic or is there some other factor, and how large is the fruit preparations business?
Rustom Jilla: So let me take the part of that. So most of the cost increases that the raw material draft cost increases that we've seen coming through and are still coming through are impacting Nourish. I mean if you think about $220 million-ish sort of cost hit that we're having right now, a part of which is freight rates, not the freight volume that Andreas and I talked about, but freights. Probably close to 80% is impacting Nourish. And it's a few specific areas, it's soy meal, soy protein, that's the biggest one that we see there. There's LBK, lotus bean kernel that's very close behind. And then there's also like vegetable oils, propylene glycol, stuff like that. I mean the Scent business, the impact turpentine cedarwood, it's there, and it's coming in, but it's coming in more in the back half of the year as opposed to the first half of the year, and it was smaller compared to Nourish. Nourish is where we had the biggest impact. So that's what you're really seeing driving the business there.
Jeff Zekauskas: And the fruit preparation business, how big is that?
Rustom Jilla: That's a small business. I don't know if we've -- the seller wanted us to disclose that, so I won't. But we have been talking, it's a very small and sub-$100 million. How is that…
Operator: And we'll take our next question from Lauren Lieberman with Barclays.
Lauren Lieberman: I guess first thing was just with the comments that you expect legacy IFF to be up double digits for the balance of the year, which is really impressive set of expectations. I think it would imply that the N&B side of the house would be decelerating pretty considerably. I mean it sounds like that might be due to the capacity constraints. But I was just curious if you could comment on that first?
Andreas Fibig: Rustom, you want to take it?
Rustom Jilla: Actually, the comment is that in Q2, heritage IFF currency neutral growth was low double digits and in Q2, N&B's current leg heritage N&B’s currency neutral growth was mid single digits. I mean I think that's -- so I mean I thought perhaps it was it, Andreas?
Andreas Fibig: No, actually, look, what we see is we'll recover in the second half in pharma, because we are recovering some of it through all the cold snap we had in the Midwest. So that will come back but probably not to the degree we have to demand. And on the Health & Bioscience piece, it's certainly driven by our manufacturing capacity, which is limited but also with higher comps we will see for the last two quarters. So we will see how it goes. We are very careful here on this side but it will be more positive than what we have seen in the first quarter. Certainly, we saw already an acceleration in the second quarter and it will go in the right direction. So we are observing it quite carefully. What I can tell you also in the third quarter, the legacy N&B businesses had a pretty strong start. And then certainly, part of it is in the Nourish business as well and reflected in the Nourish numbers, in particular, the Ingredients business, we should not underestimate that. And by the way, having you on, I hope you have seen the really strong performance of Fine Fragrances, which are really going in the right direction, helping with the mix on the Scent side quite significantly.
Lauren Lieberman: Yes, absolutely. And I also know that IFF has had a number of the big new launches in the industry or IFF perfumer work. So I've definitely seen that. I had one more question, though, on the capacity additions and that you're still going a little bit about so far. I was curious to the degree as you've now gotten further in with the N&B business, if it feels like perhaps that's been a bit underinvested and whether it was in the 12 to 15 months prior to deal close or even before that, because the need to be investing in CapEx, the call out of higher than expected logistics separate from rate. But just again, because of these capacity airfreight and so on suggests that there's something there. So just curious about that. Are you yet to a point where this could be a multiyear period of investment in capacity, not just one year you've got the cash flow but just curious about that.
Andreas Fibig: No, it's a good point, Lauren. And I would say there are two things which come together. One is the very robust demand and a lot of wins we had in particular on the enzyme piece and that came a bit of a surprise to the unit. So that's where we need some investment here to deliver on it. I would not say it was underinvested but it was probably also through the pandemic, not on the real time horizon. We could have had some of the expansion already probably six months earlier than we would be in a better position. But it is as it is. And we have now adapted our CapEx plan going forward that we can deal with these, let's say, shortages quite nicely over the next, I would say, 15 months. The positive for me is that demand is very robust. And the other positive is that we see some superiority of our products in that market, which is really good. And there's something which we haven't talked too much because it might be more midterm but the R&D pipeline, in particular, what comes from N&B is super strong and it will help us with our wins going forward. I don't know, Rustom, do you have anything to add?
Rustom Jilla: I guess, Andreas, I mean just think -- Lauren, it is a little bit of multiyear. I mean we're probably going to spend about another $450 million in total, but it's actually good. We can use more. We've got good strong business. I mean, I view this as a positive and we have the cash flow and so we're going to use it.
Operator: And we'll take our next question from Ghansham Panjabi with Baird.
Ghansham Panjabi: Andreas, just kind of thinking about your portfolio at this point. Obviously, mobility is starting to directionally improve globally and you're seeing the impact on Food Service and Fine Fragrances and some other businesses. On the same token, you're seeing CPG companies talk about moderation at volumes, whether it's food or just consumer products more broadly. So how do you see those dynamics sort of netting out for IFF as we progress over the next couple of quarters? Do you see categories that are starting to moderate? And if so, would that affect the sales growth that you're anticipating at this point?
Andreas Fibig: I would say if I go to the different categories, we see still strong demand for Fine Fragrances. And this is not just driven by the robust demand right now but also by our win rate. We are winning more than our fair share and that's very, very helpful. Consumer Fragrance, here, I would say, in general, for the market, you see a moderation and that's what you hear in the market from the big CPGs as well. But again, we are in the good position or lucky position that we are on all the core lists we wanted to be. And then we talked over the last couple of quarters about the street callers we made a year and half ago and they are really contributing. So that's helpful for us. But in general, we see some moderation. Another one is active cosmetics. We see a big, big and strong growth going forward. On Health & Bioscience, I would say, very strong in Home and Personal Care, but more driven by our wins and our technology than by the whole market. So that's what I would say. And then grain processing and microbial control are coming back out of, let's say, modest performance in last year. And animal nutrition is pretty good as well. On the Nourish side, I would say we haven't seen any slowing down of demand. And that might be also driven because we are now in a unique position that we can offer from the ingredient, to the flavor, to the total solution that we are in a different position than many of our competitors and that helps us actually to position us in the right way. So answering your question is we see some markets, we see the market's moderation, but not too much for us because of the position where we're in right now. So that will be my overall comment.
Operator: And we'll take our next question from Mark Connelly with Stephens Inc.
Mark Connelly: Andreas, when you think about COVID reopening, what are the big opportunities if we continue to move along? And what are the risks if we all start to mask up and away from home dining gets hit. I'm just trying to get a sense of where you are ex health and wellness, because as you just point out, you're in a very different position than you were when we went into COVID?
Andreas Fibig: I would say, if we're starting to close down, again, if the delta variants really proving dangerous for us. I would say the food service is the only business I could think of right now, which could be impacted, maybe fine fragrance. But what we have seen is much more online usage but these are the two categories where I see an impact, or a negative impact. On the other hand, if the close down comes, I would say that Consumer Fragrances, in particular, in terms of the health and the hygiene products, are going up. And as you said, on the health side as well because people are trying to fortify their food, trying to be healthy, getting more probiotics in. And so I would say we have at least as many opportunities as we have risk to another close down. So that's how I would describe it for now.
Operator: And we'll take our next question  with Citi.
Unidentified Analyst: Just quickly, you had good growth in Scent, particularly 85% growth in Fine Fragrance. Are you back to pre-pandemic levels in Fine Fragrance? And was there any inventory building in the Fine Fragrance channel that we should think about?
Andreas Fibig: We are even outperforming our 2019 number. And this quarter will show whether there's an inventory building or not because now they're starting to order for the Christmas business. And so far, it's a strong start into the third quarter. So I would say not so much inventory building and then there's an extra effect on our side for Fine Fragrances that we are winning really a lot of business and a lot of good fragrances as well, which are very nicely marketed. So that's how I would describe it. I don't know, Rustom, anything to add from your side?
Rustom Jilla: No, that covered it.
Operator: We'll take our next question from Matthew DeYoe with Bank of America.
Matthew DeYoe: So questions for you on the margin and margin outlook. I guess, first, what happened to pharma cost? Can you dig in a little bit more on that? It seems like you're blaming, Yuri, but that was mid-February. And so how do you improve from there going forward, at what rate do we climb out of this hole? And then if I look at the 100 basis points of margin hit you mentioned, Rustom. Can you break that down a little bit between what would be raw material energy inflation type stuff that the whole industry would be experiencing? And maybe what percent of that 100 basis points is unique to IFF given air freighting capacity issues, outages, et cetera?
Rustom Jilla: So let me do the first one. I mean, yes, it came from the February outages but there's still been problems with the suppliers and the force majeure type situations, with methachloride. And it shut down two of our plants temporarily during the period, which meant that it's a pity because we could have sold every single thing we produced, obviously, and then we also had underutilization. So that's what came through there. If I was to roughly look at the break in general, at the percentages in general between raw material and freight about, call it, 85% or so of the total comes from raw material increases and about 15% from freight. But interestingly, freight is a much smaller portion. If you break up that 5.5% that we talked about, the material cost impact is probably about 5% inflation we're seeing. I'm rounding all these numbers. And the freight rate increase is probably about 8% and may even be slightly higher with the way that's going. I mean containers are 3 times to 4 times sea freight as high as they've been. And also, there's one more complication even when we have contracted rates we and many others experienced, there's lots of delays going on and stuff. So we sometimes book -- we can't get the stuff on the contracted rate still much later and have to pick spot rates. And we’re also forced sometimes to look at different modes of transport from a reliability perspective. So a lot's going on there.
Operator: And there appears to be one last question. We'll take our final question from Lisa De Neve with Morgan Stanley.
Lisa De Neve: Two questions from me, and then follow-up. So back to the Scents and care business, I mean, you delivered very strong margins. Can you share to which extent this was related to favorable product mix towards Fine Fragrance and Active, and how we expect this to trend in second half given raw materials were kicking in a little bit more meaningfully? But at the same time, you did mention you were still going to see relatively good demand for Fine Fragrance. That's my first question. The second one, early in the presentation, you mentioned that in the second half, you may see a fairly similar contribution from pricing, about 2.5% and 2.5% from volumes. And I'm just trying to understand why you're being so cautious on the volume side, or maybe I just misunderstood this.
Andreas Fibig: Rustom, can you take it?
Rustom Jilla: I mean on the volume side, I mean, our focus in the second half is on ensuring that we get pricing to recover raw material costs. We're trying to recover close to 100%, and that is really important to being able to the EBITDA and the numbers there. And we did have very strong growth in Q2, predominantly volume driven. And so what we've -- our guidance, Lisa, in the second half is sort of we're trying to guide to manage performance, risk and the need for pricing again. So that's really what you're seeing over there. And on the first part of your question, I mean, yes, for the Scent business, the margin expansion was really driven by the mix for sure. I mean, for sure. I mean when you have Fine Fragrances going up 85%, that's tremendous. So it was mixed but there's also volume growth, in general. I mean you've seen Cosmetic Active was super as well and then productivity, and that offset inflationary pressures and costs which you're seeing there as well. And in the second half, we'll see more costs coming the way of the Scent business, not on the scale of nourishing what we've seen. Anything to add there, Andreas?
Andreas Fibig: No, I think you captured it very, very well. I just want to make a general remark on mix. Obviously, we try for all businesses now to push basically all the parts of the portfolio, which have the higher profitability and the higher growth areas, which over time should really help us with mix. And I think what you see with Scent, it's something which is a very positive driver for our profitability going forward.
Operator: There are no further questions. I will turn the call back over to Andreas for any closing remarks.
Andreas Fibig: Yes. Thank you. We are incredibly proud on the second quarter because, again, as we said, first of all, we delivered strong growth, even in comparison to 2019, which is real good parameter here. Secondly, we’re integrating well with the N&B business and we do it in time of a pandemic. And I think, again, I would like to use the time to congratulate all of our teams around the globe for what they have accomplished. And I think it’s not an easy task and everybody did really as best and that’s where IFF stands for. Thank you for that, and talk to most of you later. Thank you guys. Bye-bye.
Operator: Thank you. And this concludes today’s program. Thank you for your participation. You may disconnect at any time.